Operator: Good day, ladies and gentlemen, and welcome to the Urban Outfitters, Inc. Fourth Quarter Fiscal '26 Earnings Call. [Operator Instructions] I would now like to introduce Oona McCullough, Executive Director of Investor Relations. Ms. McCullough, you may begin.
Oona McCullough: Good afternoon, and welcome to the URBN Fourth Quarter Fiscal 2026 Conference Call. Earlier this afternoon, the company issued a press release outlining the financial and operating results for the 3- and 12-month period ending January 31, 2026. The following discussions may include forward-looking statements. Please note that actual results may differ materially from those statements. Additional information concerning factors that could cause actual results to differ materially from projected results is contained in the company's filings with the Securities and Exchange Commission. For more detailed commentary on quarterly performance and the text of today's conference call, please refer to our Investor Relations website at www.urbn.com. Please note, on today's call, management will be speaking to our financial results on an adjusted basis, which do not include noncore adjustments for charitable donations to a donor-adviced fund in the current year and release of income tax reserves from the prior year. Each of these items is detailed in our press release as well as the investor presentation that is posted to our URBN Investor Relations website. I will now turn the call over to Dick.
Richard Hayne: Thank you, Oona, and good afternoon, everyone. The URBN team delivered exceptional fourth quarter results to close out a record-breaking year. Total revenue grew by 10% in the quarter, hitting a record $1.8 billion. Adjusted earnings per share jumped an impressive 38% for the quarter and 35% for the full year. We achieved this even though tariffs negatively impacted our product margins beginning in the second quarter. I'm also pleased to report that the positive momentum we've seen all year continued through the holiday season. All retail segment brands delivered positive comps with standout performances from FP Movement and Urban Outfitters. Nuuly meanwhile, maintained its forward pace of subscriber growth. The Urban brand also reached a huge milestone by returning to profitability for the full year. Frank Conforti, our Co-President and COO, will now provide a deep dive into our fourth quarter and full year results. After Frank, Melanie Marein-Efron, our CFO, will walk you through our outlook for fiscal 2027. I will then wrap things up with a few closing thoughts before we open the call for your questions. Frank? The floor is yours.
Francis Conforti: Thank you, Dick, and good afternoon, everyone. Today, I'm excited to share our company's fourth quarter record results compared to last year, and then I will dive into some detailed notes by brand. Overall, our teams delivered another outstanding quarter, exceeding our plans and setting new sales and operating profit records. Total URBN sales grew by over 10%, reaching a Q4 record of $1.8 billion. All our retail segment brands delivered positive Retail segment comps while 4 of our 5 brands posted record fourth quarter sales. Nuuly continued its impressive double-digit revenue growth, and our Wholesale segment delivered 9% overall revenue growth. Our total URBN sales growth was partly driven by a greater than 5% increase in the Retail segment comp with digital comps slightly exceeding store comps. Nuuly delivered strong 43% revenue growth driven primarily by an increase of over 120,000 average active subscribers compared to Q4 last year. Additionally, the Wholesale segment delivered a 9% increase in revenue driven by growth in the specialty store accounts, which was largely fueled by healthy increases in FP Movement. Next, I will turn your attention to gross profit. URBN saw a 14% increase in gross profit dollars, reaching a record of nearly $600 million. The gross profit rate improved nicely by 101 basis points rising to 33.3%. The improvement in gross profit margin was primarily driven by lower markdowns at the Urban Outfitters and Free People brands in addition to occupancy leverage, driven by strong sales growth across all our brands and leverage in delivery expense due to a reduction in packages per order. These gains more than offset lower initial product margins at all brands due to increased tariffs versus the prior year. In the quarter, SG&A increased by 9% leveraging the 14 basis points. The growth in SG&A dollars was primarily driven by increased store payroll expenses to support the Retail segment stores net sales growth and increased marketing spend which fueled sales and customer growth for all brands. The marketing efforts drove increases in traffic, both in stores and online for total URBN Retail segment while Nuuly's campaigns resulted in healthy double-digit growth in average active subscribers. Overall, total URBN operating income rose by 27% compared to last year, reaching a Q4 record of $159 million, while the operating profit rate grew by 115 basis points. During the quarter, we made a $46 million contribution to a donor-advised fund, which is included in other expense and income line item on our income statement. We intend to use this fund to support our charitable initiatives in the coming years. Net income increased 33% to $131 million or $1.43 per diluted share. Moving on to brand performance, starting with Anthropologie. The Anthropologie team had another solid quarter, achieving a 4% increase in the retail segment comp, which marks 5 years of consecutive quarterly positive comps. This growth was fueled by strength in the digital channel while store comps were flat. The positive Retail segment comp was driven by positive comps in all major product categories. Apparel growth was fueled by a continuation of a strong bottom cycle, which remains a key driver of the assortment. Additionally, the brand saw significant strength in its own brands such as Maeve, Pilcro, Celandine and Lyrebird, all of which are resonating deeply with the customer and reinforcing our unique product positioning. Turning to the home category. Performance was primarily driven by strength in home accessories, where fresh product introductions are successfully capturing the customers' desire to refresh their living spaces with new fashion. We are also encouraged by the recent improvements we see in furniture, which we believe presents an opportunity for growth in the coming year as we continue to lean into our unique home aesthetic. The Anthropologie team continues to drive customer acquisition by pairing compelling product assortments with strategic marketing investments and exceptional creative content. These efforts were instrumental in driving growth across new, retained and reactivated customers during the quarter. This broad-based engagement led to the traffic increases we observed across both our digital and store channels. Overall, we are pleased with the brand's execution and based on our current plans we believe the brand has the ability to deliver positive comps at a mid-teen operating profit rate in fiscal year 2027. Next, let's turn to Free People, which delivered another impressive performance this quarter. The team achieved a total revenue increase of 10%. This growth was driven by positive Retail segment comps, non-comp store growth and strong gains in the Wholesale segment. The Retail segment comp of over 5% was broad-based across both our store and digital channels while store performance outpaced digital during the quarter. Customer traffic was nicely positive across both channels, supported by a healthy increase in AUR in stores. Furthermore, customer acquisition and overall customer growth were positive across both channels, fueled by compelling content and execution delivered by the brand's creative, marketing and product teams. The Wholesale segment delivered a 10% increase in revenue during the quarter, led by the continued strength of FP Movement across our Wholesale partners. Importantly, across the Free People Group, regular price sales improved nicely versus the prior year, reflecting the high quality of the brand's offerings and strong customer demand. This execution, combined with well-controlled inventory allowed the Free People Group to deliver record operating profit for the fourth quarter. The Free People brand had a solid fourth quarter with total sales growth of 3% and a retail segment comp of 1%. These positive comps were driven by successes in both gifting and self purchasing across several key categories, including accessories, intimates, bottoms and sweaters. The FP Movement brand remains a standout, delivering exceptional results with total revenue growth of 29% and an impressive retail segment comp of 21%. This performance was fueled by the brand's ability to consistently deliver technical innovation and fresh fashion in the active wear space. The expansion strategy for FP Movement remains on track, which successfully opened 12 new stores during the quarter, bringing the total to 88 retail locations to date. We continue to see strong performance from these new sites which play a vital role in driving brand awareness and accelerating customer acquisition. Based on these strong results, the brand plans on opening at least 21 additional stores in fiscal year 2027. To lead this high-growth business into the next chapter, URBN is happy to welcome Andrea Perez as FP Movement's First Global President. Andrea will report directly to Sheila Harrington, Global CEO of the Free People and Urban Outfitters groups. Andrea is uniquely positioned to steer FP Movement as a premier performance lifestyle brand. Her expertise in disruptive marketing and a deep-seated passion for women's sports make her the ideal leader for the stage of our expansion. Looking ahead to fiscal year 2027, we remain confident in the underlying strength of the Free People Group. Given the consistent execution within the core collection assortment and the ongoing growth of FP Movement, we believe the retail segment is well positioned to deliver positive comps with mid-teens operating profit rate for fiscal year 2027. Additionally, we believe the wholesale segment can deliver healthy growth with a consistently strong profit rate for fiscal year 2027. Now let's move on to the Urban Outfitters brand, which continued its positive momentum with a global Retail segment comp of 10%. This performance was driven by a healthy 8% sales comp in North America and a strong 12% sales comp in Europe. The Europe comp was particularly impressive given the difficult comparisons from the prior year. Most importantly, this growth was anchored by a significant improvement in markdown rates as the brand drove positive comps through strength in regular price selling. A significant milestone for the year was the global Urban Outfitters brand return to profitability. We finished the year modestly above breakeven driven by a substantial reduction in our North American operating loss and a robust increase in profitability in Europe. In North America, the team delivered positive comps across all major categories. Within women's apparel, the strong bottoms trend continues to fuel growth, complemented by an incredible performance in our key items and proprietary collections. In North America, the marketing and creative teams remain committed to meeting our customers where they are. The brand has seen great success in diversifying their social platforms and optimizing their creative across Reddit, Pinterest and TikTok. The brand's recent partnership with Canva was a highlight, generating significant engagement through thousands of holiday wish lists. Moving forward, the team is leaning further into user-generated content and exploring emerging platforms to amplify the brand voice. In Europe, the business continues to be a standout performer, the European team achieved a significant increase in profitability for both the quarter and the full year, driven by the strength of their store business, which led to healthy operating profit growth. Their consistent execution in product and marketing is allowing them to continue capturing meaningful market share. Looking ahead to fiscal year 2027, we are excited by the trajectory of the global Urban Outfitters brand. We believe the brand is well positioned to deliver positive Retail segment comps for the year while continuing to make meaningful progress in growing their profitability. Now moving to the Nuuly brand. which delivered another exceptional performance this quarter. Total revenue grew by 43%, driven by a 40% increase in average active subscribers compared to the prior year Q4. This scale allowed the brand to deliver approximately 130 basis points of operating margin improvement during the quarter, fueled by efficiencies in logistics and the natural leverage of our operating expenses against strong revenue growth. Looking at the full year, Nuuly achieved several significant milestones. The brand surpassed its goal of $500 million in annual revenue and increased its total profitability by over $21 million. This resulted in full year operating profit margin growth of over 260 basis points. These results are a testament to the team's ability to scale the business profitably while maintaining high levels of customer demand. Nuuly's continued strong performance reinforces our confidence in the large and growing opportunity for apparel rental in the U.S. We believe the total addressable market for this category remains significant. And as the clear leader in this space, Nuuly is uniquely positioned to capture that demand. As we move into fiscal year 2027, we remain committed to scaling this business and driving long-term value for the URBN portfolio. We believe Nuuly could continue to deliver mid-double-digit growth rates as the brand grows in scale and marches towards $1 billion or more, while improving their profit margins. Now I want to briefly touch on tariffs. We estimate that tariffs negatively impacted our fourth quarter gross and operating profit rate by approximately 75 basis points, while negatively impacting the year by approximately 35 basis points. Note that these impacts are net of our mitigation efforts. Now on to the current year. The recently announced Supreme Court ruling and subsequent Section 122 announcement certainly change things. These recent events were not contemplated in our original plans for fiscal year 2027, which Melanie is going to talk about in a few minutes. If the Section 122 tariffs stay in place for the year or expire in July, we do believe there could be an incremental IMU benefit to our current plans. There are certainly a lot of external discussions about what will or won't happen over the coming months. So we are cautious about planning for change until there is more clarity. In the meantime, our teams continue to work diligently on all our tariff mitigation efforts. And I think given the overall results in fiscal year 2026, they have done an outstanding job. We cannot thank the brand and sourcing teams enough for their efforts. In summary, fiscal year 2026 was a year of exceptional execution and record-breaking results across the URBN portfolio. For the full year, we delivered total sales growth of 11%, supported by positive Retail segment comps at all our brands. Strong revenue gains in our wholesale segment and robust revenue growth in our subscription business. Our focus on regular price selling, inventory discipline and tariff mitigation efforts resulted in 126 basis points of gross margin expansion, driving a 15% increase in gross profit dollars. This discipline, combined with our strong top line performance enabled us to deliver 28% operating profit growth and an impressive 35% increase in earnings per share for the year. We finished the year delivering 128 basis points of operating profit rate growth, just shy of a 10% operating profit rate despite the significant tariff headwinds that negatively impacted profit margins for the year. As we look ahead to fiscal year 2027, our brands are well positioned with fresh assortments, healthy inventory levels and a clear strategic focus. We remain confident in our ability to drive continued growth and deliver long-term value for our shareholders. I want to thank our teams for their incredible dedication and hard work in making this a historic year for URBN. Now I will turn the call over to Melanie Marein-Efron, our Chief Financial Officer.
Melanie Marein-Efron: Thank you, Frank, and good afternoon, everyone. On today's call, I will discuss our thoughts on the first quarter and full year fiscal '27. As we begin fiscal year '27, we believe we could deliver positive high single-digit total company sales growth for the full year. This growth could be driven by mid-single-digit Retail segment comp, mid-double-digit revenue growth at Nuuly and mid-single-digit growth for the wholesale segment. For the first quarter of FY '27, we believe we could deliver positive high single-digit total company sales growth as well. This growth could be driven by a mid-single-digit Retail segment comp driven by high single-digit positive comps at Urban Outfitters, mid-single-digit positive Retail segment comp at Free People and low single-digit positive Retail segment comp at Anthropologie. Nuuly could deliver mid-double-digit revenue growth. Finally, our Wholesale segment is planned to achieve mid-teen revenue growth for the first quarter. Based on our current plans, we believe our full year FY '27 gross profit margins could be up approximately 25 basis points versus last year, with the second half showing a benefit to IMU. This guidance reflects the tariffs in place prior to discipline court ruling overturning the IEEPA tariffs this past Friday. Based on the current sales performance and plan, we believe our first quarter gross profit margins could be down approximately 25 to 50 basis points versus last year. Excluding the impact of last year's nonrecurring gain in Q1 FY '26 which contributed positively to gross profit margins by approximately $5 million or 36 basis points last year. The reduction in gross profit rate could be primarily due to lower IMU due to the increased tariffs. Based on our current sales performance and financial plan, we believe total growth in SG&A could outpace sales growth for both the first quarter and full year. The annual growth in SG&A dollars primarily relates to strategic technology investments to support the sustained growth of Nuuly and the speed up of our internal product life cycle process through agentic AI. We believe that these technological investments will provide significant benefits for years to come. The investments in agentic AI tools allow our teams to elevate their creativity, execution and accuracy. As the product life cycle gets faster and decisions are made closer to customer demand, we anticipate long-term financial benefits in the form of higher sales and lower markdowns. We believe the delta between SG&A and sales growth rates will be larger in the first half of the year than the second half of the year. In Q1, SG&A could grow several points ahead of sales growth due to the timing of marketing investments at the Nuuly and Anthropologie brands, along with increased technology investments. As always, if sales performance fluctuates, we maintain a certain level of variable SG&A spending that we can fluctuate up and down depending on how our business is performing. Our annual effective tax rate is planned to be approximately 22% for the year and the first quarter. Now moving on to inventory. In the coming year, we will continue to be focused on increasing our product terms, we believe that our inventory levels could grow at a rate at or below sales growth. For FY '27, capital expenditures are planned at approximately $385 million. The FY '27 capital project spend is broken down as follows: approximately 40% for retail store expansion and support, approximately 40% for logistics investments, and the remaining 20% from technology investments and home office expansion to support our growing businesses. The logistics investments are to expand our capacity and automation in both the subscription and Retail segment businesses. We will be opening approximately 57 new stores and closing approximately 14 stores during fiscal year '27. Our net new store growth is primarily being driven by the growth in FP Movement, Free People and Anthropologie stores. During FY '27, we plan on opening 21 FP Movement brand stores, 13 Free People brand stores, 14 Anthropologie stores and 8 Urban Outfitters stores. Based on our current plans, we plan to repurchase shares to at least offset any dilution that may occur in FY '27. Of course, share repurchase activity will be contingent on market conditions and Board of Director authorization. As a reminder, the foregoing does not constitute a forecast but is simply a reflection of our current views. The company disclaims any obligation to update forward-looking statements. Now it is my pleasure to turn the call back to Dick Hayne, Chief Executive Officer of URBN.
Richard Hayne: Thank you, Melanie and Frank. That's a great summary. As you've heard today, FY '26 was a landmark year for URBN. Our record results are a direct reflection of the strength of our brand portfolio and the talent of our teams. We entered the new year from a position of strength, and I'm optimistic about each brand's ability to continue capturing market share in FY '27. While there is always much prognostication regarding the macro environment and health of the consumer, we currently view both as positives for our business. We believe the macro economy is strong, and we see no shift in our customers' behavior, except for that due to extreme weather. Customers remain highly engaged and are responding enthusiastically to fashion newness and our creative experience. The future looks bright for URBN, our diversified model, spanning multiple brands, categories, channels and geographies gives us a solid foundation from which to grow, but the real magic of our brands is built by the outstanding talent and creativity of our teams. Their dedication and hard work allow us to remain relevant as preferences shift and ensure we consistently please our customers. This in turn builds brand equity and drives long-term value. The record-breaking results we celebrate today are a testament to that talent and the leadership that orchestrates it. I offer my sincerest thanks to the entire URBN family, especially to Meg and Frank and all our brand leaders. I also want to thank our global partners and our shareholders for their continued support. That concludes our prepared remarks. We now invite your questions.
Operator: [Operator Instructions] Our first question is from the line of Lorraine Hutchinson with Bank of America.
Lorraine Maikis: I wanted to focus on Anthropologie, which had a bit of a volatile fourth quarter, can you talk about how they ended in 4Q and began 1Q? And how you're positioned from an inventory perspective as we enter spring?
Richard Hayne: Tricia, do you want to handle that?
Tricia Smith: Yes, I'm happy to provide a little bit more color on that. We -- our sales accelerated coming out of the holiday period with receipt of new spring transitional product that was received in December. This contributed to a high single-digit comp in January, which resulted in a 4% comp increase for the quarter and was higher than our 3% forecasted comp. The change in our sales trends in January improved most significantly in our stores prior to the impact of the storm. And that was mentioned at the beginning of the call, but it fallen behind our plan in the weeks of February in both apparel and home categories. Our DTC demand trend, however, in the January and February combined time frame is relatively in line with our plan in the mid-single-digit range in both apparel and home. Our teams have been hard at work at chasing into product categories that have outperformed and have a firm grasp on what the customer is telling us she wants. We believe that those receipts will flow into stores in mid-March, along with normalized spring weather trends and will positively impact our sales in the quarter. We're planning to deliver low single-digit comps in Q1 and low to mid-single-digit comps in FY '27. In response to the inventory question, our apparel inventory is in pretty good shape, Lorraine. And I mentioned our teams are reacting to the positive sales trends that they saw in January. Our overall home and furniture inventories were front-loaded earlier in the season and providing -- and proving to do really well, both from an overall performance perspective as well as benefiting from an earlier start to the season with intentionally higher in-stock rates. We have included a slight increase in our markdowns into our plan in reaction to a slower start to the quarter in stores. But as a reminder, our Q1 has represented a historically low markdown rate for the last several years.
Operator: Our next question comes from the line of Paul Lejuez with Citi.
Paul Lejuez: It seems like gross margin came in a bit better than what you had previously guided as of the third quarter call, even though Anthro I think during the holiday period did have some increased markdown pressure. So I was just curious what came in better or worse than planned, it seems like mostly better. And then also, I just wanted to understand if you could just give a little bit more color on the first quarter to date across brands. what you're seeing and how that was impacted by weather.
Francis Conforti: Paul, I'll take your first question on gross profit margin. You are correct. It did come in better than we were signing for and the fourth quarter was largely due to lower markdown rates than what we were planning for at both Urban Outfitters and Free People. We also finished the top line a little stronger than what we were expecting as well, which drove some nicer than planned leverage in store occupancy. And then, Dick, I don't know if you wanted to go into the sales in the quarter.
Richard Hayne: Sure. Paul, we're planning on delivering mid-single-digit total Retail segment comps for Q1. Let me just break that down by brand, if I could. Anthropologie is planned at low single digits. Currently, the brand is slightly behind that plan due to soft store sales. Free People is planned to deliver mid-single-digit comps and is currently running ahead of that plan. And global Urban Outfitters brand is planned to produce high single-digit comps and is currently meeting the plan. For total URBN weaker-than-planned store sales is the major issue negatively impacting planned comps. Digital sales were fine. We believe one major cause of softer store sales has been the extreme weather events in February. Now those extreme events are mostly located on the East Coast, but the West Coast also had their share with torrential rains. Stores are in nonimpacted regions are actually running ahead of plan. So we feel confident in our ability to achieve our total retail segment in Q1. In addition, both our wholesale and subscription segments are running slightly ahead of their Q1 plans. Therefore, we want to reiterate our confidence in producing high single-digit total company revenue gains in the first quarter.
Operator: Our next question comes from the line of Matthew Boss with JPMorgan.
Amanda Douglas: It's Amanda Douglas on for Matt. So Dick, could you elaborate on product category or marketing opportunities that you're focused on this year for the Urban Outfitters brand to further improve sales productivity in North America and support your comp outlook for that brand this year?
Richard Hayne: Amanda, I sure could do that, but I want to pass it on to Shea, because she is much closer to it and much more knowledgeable about it, and I don't want to put my foot in my mouth.
Shea Jensen: It's Shea. I think we continue to be focused on, let's say, to our customer from a product perspective and reacting right now. She's clearly voting for bottoms across the business, whether that's woven bottoms, denim or lounge bottoms, and certainly looking to outfit her back to those bottoms. Accessories continues to be a category that's resonating with our customers. And then gifting and novelties, whether that's hydration or some of the novelties that customers love to come in and discover in our stores. So we continue to be looking to fuel those categories as well as support new and upcoming categories, whether that's our men's business or some of our footwear businesses that are emerging. From a marketing perspective, really proud of the team's efforts. Last year, we acquired 1 million new customers to the brand, and those customers are regular price customers who are spending more with us and shopping more frequently. I think our mission in marketing is really to connect with customers and provide a great experience. Increasingly, that means finding them on a diverse range of social and digital platforms. And so in the past quarter, and I think looking ahead, that means really accelerating our efforts on platforms like Reddit. You heard Frank mention TikTok, Pinterest, Connected TV and even out in OpenAI platforms. In Q4, we're really proud of the partnership we had with Canva, we're the first retail partner they had, if you happen to be a parent of a teenager, you know that, that is probably the most popular place that teens build gift list and wish list. And looking ahead, we're excited to continue that partnership to share our creative with those customers, to acquire new customers, and I think looking ahead, hopefully, to build a lot of new back-to-school wish list as well.
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisory Group.
Dana Telsey: As you think about the real estate strategy for 2026, it seems like last year, you started out with a number and it came in higher. And given that this year's store openings and closings, the lease store openings seem a little bit lower than last year. Is that the same thing as things come up? And then lastly, with the new tariffs, any other thoughts on pricing? Does it -- will there be any additional changes on any of the brands?
Richard Hayne: Dana, I'll take the real estate strategy and then ask Frank to talk a little bit about his favorite topic, tariffs. You're correct that when we give plans for the year, we only include those stores that have signed leases. Now we have a whole group of stores that we are interested in and we are negotiating with, but we don't include those until there is a signed lease, and we think we can get it in -- I'm sorry, open in the year that we're talking about. So yes, I think there's an opportunity, particularly in a brand like FP Movement to have a few more than 21 store openings. But I don't know if that's going to happen or not because we're still negotiating. Frank, do you want to talk about tariffs as if you haven't already?
Francis Conforti: Absolutely. I could talk about your pricing question, Dana. I think as all of you know, as we've discussed on previous calls, we've really only taken price pretty sparingly and strategically where we felt like the specific style could support the price value equation for the customer. We were also really careful to make sure that we are protecting our opening price points and the overall penetration of opening price points to our business. I think given this approach over the past year with minimal increases, right now, we don't have any plans to change our pricing strategy in fiscal '27 as it relates to the change in the tariff.
Operator: Our next question comes from the line of Mark Altschwager with Baird.
Mark Altschwager: I wanted to drill down on the margin outlook a bit. guiding to 25 basis points gross margin expansion as well as some SG&A margin pressure. I don't think you specifically quantified that, but it seems to point to flattish margins for the year. So with that in mind, can you just update us on how you're thinking about the medium-term opportunity relative to the 10% long-term target? And then relatedly for the year, I was hoping you could just drill down a little bit by brand to help us understand the puts and takes. I think you said Anthro, Free People each plan mid-teens, which is, I think, close to where you were in '26 and then you will continue to improve. So just wondering why we wouldn't perhaps see more year-on-year improvement given that UO is making such quick progress.
Francis Conforti: Mark, thank you for your question. Certainly, multiple parts to the one question there. But let's see if I can hit it all. As it relates to the first quarter, as Melanie mentioned, we do think gross profit margin could be down approximately 25 to 50 basis points. And Keep in mind that's taking into account the onetime benefit we received in the prior year, which was roughly $5 million or 36 basis points. That decline is largely due to the lower IMU as a result of the higher tariffs from the prior year. As you mentioned, we are planning for gross profit margin to improve by approximately 25 basis points for the full year of fiscal '27. I think this improvement could be driven by lower markdowns as well as occupancy leverage. I would just also note that, that plan does not contemplate the recent changes that have come about with the recent Section 122 tariffs. So if the Section 122 tariffs were to remain in for the full year or expire in July as it currently sits today, we certainly believe we could achieve greater than 25 basis points improvement in gross profit margin for the year. I think just -- certainly, there's a lot of opinions around what's going to happen with tariffs. Hopefully, it's positive for us. So we're cautious about committing to a bigger number. Yes, SG&A is planned slightly ahead of sales for the year as it relates to the technology investments that we're making. We're really excited about those investments and think that they're going to pay off for many years to come. The SG&A is a little different as it looks from a quarter to a year basis. We've got some marketing timing that hit in Q1, which evens out over the course of the year and marketing and creative is pretty flat on an annual basis. I do think if the tariff landscape remains consistent with where it is today, there is that upside opportunity to our original 25 basis point plan in gross profit margin, which would flow through to the bottom line and add op income.
Operator: Our next question comes from the line of Brooke Roach with Goldman Sachs.
Brooke Roach: I was hoping to dive a little bit deeper into the Anthropologie product and marketing. Can you speak in more detail about the adjustments that you're making to product today and how you feel about the competitive positioning of the brand this year? What changes are you making in marketing to drive more consistent store traffic over time?
Richard Hayne: Can you, Tricia?
Tricia Smith: Yes. thanks for your question, Brooke. Our -- overall, I think we feel really good about the product assortment and the brand's performance in the quarter. Our strategic priorities have really been about modernizing our product assortment and our women's apparel business really led the brand's position and, as Frank mentioned, our particular owned brands, which grew additionally in penetration driven by the strength of Maeve and Pilcro and particular in the bottoms business. So I think in the early signs, as I mentioned in January, we were getting some really good reads on the strength of bottoms overall. In particular, we pulled a campaign together that was focused on a pants added and got some really great productivity and early reads on the customers' response. So the trends are good. Our home business continues to perform well. We're on our third quarter of comp increases in the home business and driven by our home accessories and textiles and then really happy to say that our full price furniture business has rebounded with double-digit positive comps for the last consecutive quarters in full price. So overall, I think the product categories are performing well. I think we like to have some better weather to be able to drive some better results in our stores that could offset the closures and the unseasonably cold weather. Our store marketing strategies have really been on the strategies. And we don't believe that traffic is the problem. We had some nice performance from a traffic perspective in stores in Q4. And aside from the storm related closures and weather-related events, we're finding that our traffic is not the problem, and we feel pretty confident once we get through some of these weather related issues, our ability to be able to continue to drive on these strategies will continue throughout the year.
Operator: Our next question comes from the line of Jay Sole with UBS.
Jay Sole: My question is just on Urban Outfitters. It sounds like the profitability in the North America business got a lot better. Can you just talk about maybe what the EBIT dollars were, what the margins are at the end of the year with Urban Outfitters North America and where you think that can go? And then also, Frank, just on the opportunity for tariffs, some of the tariffs kind of are lessened or go away. What is the possible upside there? And can you also talk about like India, Bangladesh, some of these countries where the U.S. created some bilateral deals. What impact is that having on the business? Is that driving a little bit of improvement in IMU, that would be good to know.
Francis Conforti: Sure. Thanks for the question, Jay. First, I just want to say it again. It's just a huge congratulations to the entire team on the turn and overall results at Urban Outfitters. It's just -- it's really great to see the progress the teams have made in delivering such strong sales growth, and they did just marginally return to profit in fiscal '26, which was driven by exceptional profit growth in Europe. Europe is nicely profitable. And it was a healthy reduction in the loss in North America. There's still opportunity there for the North American business. And I think given the continued momentum of the brand overall globally, on the top and bottom line. We are planning to build on what was achieved in fiscal '26. We believe the brand can achieve a low single-digit operating profit rate in fiscal '27 and can continue to build on that number recovering to high single-digit operating profit rate in the coming years. So it's just -- it's been great progress, and we're looking to continue to build on that. As it relates to the tariff and some of the deals that were in place, which I think because they were deemed IEEPA deals, they sort of go away. But the India deal itself, that was baked into our plans as we talked about sort of the approximately 25 basis point gross profit margin improvement for the year. We felt like we would see that benefit more into the second half of the year as you clear through inventory that had the higher tariffs. And then you start to sell through inventory with the lower tariffs and benefit the second half of the year. I think as it relates to the current Section 122 tariffs, if they remain in place for the entire year or expire in July, either scenario to that. It's incremental to the benefit and to the improvement that we're currently planning for the year. I think for us, just right now, I think we're a little cautious because it seems like there's a lot of things moving before we get comfortable calculating that number. But it's a nice benefit for the full year. And again, you would start to realize that a bit in the second quarter, but much more meaningfully in the second half of the year.
Operator: Our next question comes from the line of Marni Shapiro with the Retail Tracker.
Marni Shapiro: Congratulations on a great quarter and a nice start to spring, generally. Could we talk a little bit, just curious on Nuuly, are you seeing your subscriptions people coming in? Are they staying longer in the subscriptions? And I'm curious if you're seeing any change to the people that are coming into the subscription older, young or anything like that? I know you had a big push on campuses at one point. And then just following along, are you seeing any change, especially during the holiday season, I'm presuming some people gifted Nuuly subscriptions that these customers are coming into the other brands from Nuuly.
David Hayne: Yes, Marni, thanks for the question. We did sell a fair amount of gift cards during the holiday season, and that's always a great way to activate new subscribers. It's something our subscribers love to gift to their friends and families. So it's an excellent way to onboard new subscribers. I would say generally, we are seeing -- I think I mentioned this on the last call, we are seeing a very ever so slight lowering in the average age of our subscriber, but it's very, very small. I think it is partially related to the kind of acceleration, I would say, that we're seeing from some of our college subscribers and university subscribers, particularly in the South. But it's a trend, but it's not a trend that's such magnitude that it's distorting anything of significant. So I wouldn't put too much thought in that as a big trend. I would just generally say, though, that we are seeing through the holiday season, subscribers remaining strong, very positive year-over-year subscription growth and performance from the Nuuly business. And we remain incredibly excited about what Nuuly is and what the potential is with the business to just wrap up our first full year, delivering over $1 billion -- $0.5 billion in revenue. $0.5 billion in revenue was a big goal of ours that we set out at the start of the year, and we are very proud and happy to accomplish it. As well as the bottom line improvement that we were able to show, and we remain very excited about what the overall TAM, the total addressable market is for this business. And what's really exciting about it is that we still see an incredible awareness gap in the market and everything that we do to continue to grow awareness and get more and more folks aware of even the concept of renting a clothing and fashion really just continues to contribute positively to the overall business growth. So we think there's a big market here that we're continuing to go after. As we continue to grow awareness, we're seeing the fruits of that effort in the subscriber base growing. And we think the future is bright for where we can go. And we're excited about pushing further upwards to that $1 billion number. That's our goal.
Operator: Our next question comes from the line of Ike Boruchow with Wells Fargo.
Irwin Boruchow: Let me give my congrats as well. Two for me. Just, Dick, on the UO quarter-to-date, I think you said it was in line with the high single. Can you just give some color U.S. versus Europe within that quarter-to-date? And then on Free People, I guess I want to ask the Free People brand comps only up 1 in the first quarter. Are you expecting the -- I assume you are, but are Free People brand comps ex Movement expected to remain positive? And then you're bucking the trend on athletic for sure. Is there anything you saw in the fourth quarter on movement that gives you any kind of just concern on the overall category weakness. I mean, again, it seems like you're not -- you're going to say no because of the comp, but I just had to ask about the separation of brand versus movement and kind of what's in your expectation?
Richard Hayne: Thanks very much for that one question. Okay. I'll start with UO North America versus Europe, both geographies are on plan. Europe is a little bit higher planned than North America, but they're both very strong. And we're very happy to see that. In North America, I have to say we're seeing the same thing about weather. So store sales are a little bit softer than we would have planned -- than we did plan. And we think it's the same thing as we're talking about with Anthropologie is that the consumer right now is a little reluctant to go out and shop. I'm not sure if she feels the necessity on the East Coast at least to go out and buy spring clothes when the temperature is an 8 to 10 inches of snow are underground. Sheila, do you want to talk about Free People as I think you have a great story to tell.
Sheila Harrington: Yes. So let me -- I'll start with Free People and then I'll move to FP movement. So Free People while only a single-digit comp in Q4, what we saw was an acceleration from Q3 into Q4 in our regular price. And we actually walked markdown business purposely. So we're in an extremely good health position. And I think our margin is near best in history for the Free People brand in Q4. So I think a lot to be proud of, lots of categories on fire and certainly a very, very strong store business. Now as we move into Q1 of this year, in February, we see even a further acceleration within the brand, and that's despite walking again a lot of markdowns. So knock on wood, we feel very positive about the momentum that, that brand currently has. And then on FP Movement, we are thrilled with our Q4 results, I think, great acceleration from Q3 into Q4 across all channels of business, also direct and stores. I think we hit some strong gifting within the business that helped fuel it. Both our performance and our iets frans, our streetwear business was -- were both positive double-digit up though. So we saw the strength of acceptance of something unique in our brand positioning, really resonating with our consumer. And that's something that I know Andrea is extremely excited to build on as we sort of move the brand forward into the next generation. We feel thrilled with what the team has done, and I am more than excited about what is going to happen under new leadership.
Operator: Our next question comes from the line of Simeon Siegel with Guggenheim Securities.
Simeon Siegel: Frank, to your point, the improvement at UO is really fantastic. But as you think about the domestic business at this point? What are the pressure points driving the loss. And then can you guys quantify the delivery expense leverage you got from that reduction in package broader? How are you thinking about the opportunity there going forward? And maybe just speak to that uptick in fulfillment CapEx this year. Is that related to that at all?
Francis Conforti: Yes. So the improvement in delivery per package is -- it's due to really 2 things. One is, we've gotten smarter about inventory positioning. And certainly, that's being driven by the use of AI and technology driving us being smarter about which distribution center we should be, East-West Coast center of the country, in stores, and that's helping from a package per order perspective. I think we've also gotten smarter and slicker about consolidating some orders. So that's also driving some of those gains. I think there is some opportunity to see some of those incremental benefits into fiscal '27 as well. To hit on your logistics question from a capital perspective, it's really kind of broken into 2 buckets. One is for Nuuly as Dave and team continue to drive 50% year-over-year growth. We've got to expand capacity. So that's a great place to be. They hit really strong numbers and have eclipsed over $500 million. In addition to that, there's automation that's layered into the capital plans for the Nuuly business, which we think will once live up and running and we're learning to drive that car, we will provide for some nice leverage in logistics. There's also -- I think for those of you that visited the Kansas facility that supports the retail segment, if you remember there, I called it the dance floor that was wide open. We're building out the second phase of our automation on that facility to further support our digital business that is growing and that also should provide a benefit from a delivery and logistics perspective. As it relates to your Urban question on where the opportunity lies, I think we talked about this as sort of almost like a 2-legged race and the first one being about product margins. And the team has really done a great job walking away from the promotions that -- the high level of promotions that they experienced over the last several years and recapturing their markdown rate. I think there's still a little meat left on the bone there, but nowhere near the opportunity that we saw a year and 2 years ago. But the next big opportunity now is just about driving positive sales and driving those comp sales to leverage off on things like store occupancy and other fixed costs. And you've heard about us leveraging for occupancy in the fourth quarter. And certainly, urban was a big driver of that and the improvement in their top line and driving the improvement off of those fixed expenses. So that's the next big leg of the rates that will catapult the Urban Outfitters brand here in North America back into profitability.
Operator: Our last question comes from the line of Janet Kloppenburg with JJK Research Associates.
Janet Kloppenburg: Congratulations. I wanted to ask Shea, Francis did a great job on the operational and logistics side. But I was wondering if Shea could talk a little bit about the merchandising opportunities at UO, what you got right, what do you need to get more right maybe what wasn't as good as you thought it would be just so we could understand it when looking at the assortment. And congratulations again.
Shea Jensen: Yes. Thank you for the question. The first thing I just want to say is everything that we're doing is focused on our customer, and we're consistently and constantly reading and reacting, and really trying to leverage the speed of the URBN supply chain, which is a really fantastic asset. I think one thing that we heard very early on is that our customer really values our denim brand, BDG denim. And so we've been working over the past -- better part of the past 2 years to really fuel denim. I think if you were to walk in our stores 2 years ago and come back in our stores today, that's an area that you would see a tremendous difference. Based on the reaction of denim, our customers have also now extended into woven bottom, where you have a great denim business, you typically have a great pant business, and that business has now grown as well. The second area of our business that customers told us that they love is our lounge business. They love the fabrication. They love the comfort, and that's a business we've been working to grow really rooted in our own brand Out From Under. And that's now also expanded into what we call [indiscernible] or maybe athleisure. We have a proprietary collection that we've been building out and extending on based on one of our core fabrics. And then if you walk in our stores, you'd also see a notable difference in that area in the Out From Under area. And a third sort of big difference that I think you'd see is our accessories department. We know that our customers love to style themselves, it's how they define their individuality, and we have really expanded the accessories business, whether that's a handbag, a scarf, a hair clip or what have you. And we're just thrilled with the business we're seeing there today. Really excited about what the team has done and overall, excited about the response of the customer.
Richard Hayne: Okay. That does it. Thank you very much. I'd like you all to thank spring.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.